Operator: Good day and welcome to the Frontline Q4 2009 results presentation conference call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Jens Martin Jensen. Please go ahead, sir.
Jens Martin Jensen: Thank you. Good morning and welcome to our Q4 presentation. As I said at our Q3 presentation, there seems to be light at the end of the tunnel, and there is. The programs for this presentation will be that our Chief Financial Officer, Inger Klemp, as usual will go through the major transactions and highlights in the quarter, and thereafter, a financial review. After that, I will give a quick rundown on what happened marketwise in Q4, and otherwise on how we see things going forward, which I think is looking quite interesting. After that, there should be time for some questions. Let’s hope that we can answer. So Inger, if you could start the presentation. Thank you.
Inger Klemp: Thanks Jens and good afternoon and good morning to you, ladies and gentlemen. Unfortunately, I have come down with the stomach flu today, but I will do my best to guide you through the highlights and the financial review in the fourth quarter of 2009, together with a run-through of the new building program. Moving to slide four; during the fourth quarter 2009, Frontline redelivered four out of the five Suezmax tankers chartered in from Eiger. The last vessel will be redelivered end February 2010. In February 2010, Frontline purchased VLCC Front Vista and sold it to a buyer who has secured a 10-year time charter with a state-owned oil company at a gross rate of $43,500 per day during the entire charter period. The purchase price will be settled through installments over a 10-year period. Frontline has in February 2010 agreed to make certain amendments to the charter agreements with Ship Finance relating to 31 double hull crude oil tankers and OBOs. Frontline has until now not guaranteed the payments under the charters, and the two chartering subsidiaries have instead been required to keep a restricted cash deposit per vessel to support the charter obligations to Ship Finance. Over the last six years, these deposits have never been touched and in view of the low interest environment this is an inefficient financial structure. We have therefore agreed with Ship Finance to reduce the restricted cash deposits by approximately $112 million in exchange for a full corporate guarantee from Frontline for the payment of charter hire. Further, the parties have agreed a net upfront payment of charter hire less operating expenses of approximately $74 million, covering 80% of the payments due over the next six months. The change of structure is expected to take effect from April 1, 2010. This solution will reduce Frontline’s cash breakeven level for these vessels and improve Frontline’s free cash balance by approximately $112 million during this period. In January 2010, the company took delivery of its first Suezmax newbuilding from Rongsheng, which was named Northia, and the vessel was subsequently delivered to a major oil company on time charter. A compensation payment for delayed delivery was negotiated with the yard. In January 2010, Frontline signed a bareboat charter for the VLCC Edinburgh for a two-year period with a two-year option period. The vessel will be operated as a floating storage unit and will cease to trade as a regular tanker. The charterers will pay for the vessel’s next upcoming docking in the third quarter of 2010. In December 2009, following the termination of the capital leases on three 1999-built double hull VLCCs; Front Chief, Front Commander and Front Crown, we agreed to charter in these three vessels on one-year time charters at net $29,000 per day. A non-cash gain of $24.9 million on the termination of the capital leases will be recognized on a straight line basis over the quarters in 2010. Lastly, in January 2010, Frontline entered into an agreement to charter in the VLCC Desh Ujaala for a one-year at net $29,625 per day with one-year option period. Moving to slide five; Frontline reports net income of $3.9 million equivalent to earnings per share of $0.05 in the fourth quarter 2009. This is below consensus numbers. We have noticed that many of the analysts have still higher VLCC and Suezmax spot rates than you can expect from us. Now [ph] this is the number of the Gemini pool where Frontline also participates, released their fourth quarter earnings earlier this year, and had a spot rate on the Suezmax of 18,700 per day. You can expect that the rates that Frontline will achieve on the Suezmax are close to this as we also trade in the Gemini pool. Also Urinor [ph] released their fourth quarter earnings earlier this year and they had a spot VLCC rate of $25,500 per day. Even though we usually outperform our competitors, which we have done also this quarter with a spot rate of $30,400 per day, some of you have assumed higher spot rates for the Frontline VLCCs than you can expect. We announced a dividend of $0.25 for the fourth quarter. Frontline reported net income of $102.7 million for the year ended December 31, 2009 equivalent to earnings per share of $1.36. Moving to slide six; net income in the fourth quarter is $13 million [ph] better than in the third quarter of 2009. The increase can mainly be explain by, firstly, an increase in contract equivalent in the fourth quarter compared to the third quarter which have led to an increase in income on contracted basis by $40 million. The profit sharing payable to Ship Finance has increased in the quarter with $1 million due to the increase in income. Ship operating expenses increased by $2 million compared with the preceding quarter, primarily as a result of increased dry docking costs. Charterhire expenses have decreased by $3 million in the fourth quarter compared with the third quarter mainly due to the redelivery of Genmar vessel, partly offset by the increased spot market which has resulted in increased expenses in the floating rate charter and the profit share payments on two vessels. We also had one additional vessel on floating charter in the fourth quarter compared to the third quarter. Moving to slide seven; The VLCC fleet earned in the spot market approximately $30,400 per day for double and $12,600 per day for single with an average spot earning of $29,600 per day. The average for the whole fleet was about $33,200 per day in the quarter. The Suezmax fleet earned in the Gemini pool $20,300 per day. As a consequence, of that sum of our Suezmax vessels trade outside of the pool at a lower TC rate, we earned on average in the spot market approximately $18,300 per day for double and we earned $7,600 per day for single with an average spot earnings of $17,800 per day. The average for the whole fleet was about $21,300 per day in the quarter. (inaudible) traded in the spot single haul segment. The OBOs earned $42,800 per day in the quarter. The TC numbers show that Frontline this quarter had traded back to (inaudible) and competitors with respect to the VLCC fleet and also for Suezmax vessels in the Gemini pool. (inaudible) vessels are not included in these rates. Moving to slide eight; we have drydocked four vessels in the fourth quarter of 2009, which is one less than in the third quarter of 2009. As you can see from the slide, we have had average OpEx for the fleet of approximately $11,400 per day in the fourth quarter, compared to approximately $10,600 a day in the third quarter. OpEx had increased compared to the third quarter as a consequence of more expensive drydockings in this quarter. We expect to drydock three vessels in the first quarter of 2010. Moving to slide nine; the total balance sheet is approximately $100 million lower than in the third quarter of 2009. Main items explaining the changes are other current assets have increased $53 million, mainly due to increase in voyages in progress due to the improved market, and an increase in other receivables due to delivery installment on the first Suezmax delivery from Rongsheng, Northia being paid to the yards restricted accounts subject to delivery of the vessel, which occurred after the year end. Equivalently, that was also drawn down in connection with the delivery of Northia before year-end, even though the vessel delivery didn’t occur until after the year end. Book value of the vessels is reduced with $159 million as a consequent of depreciation and the termination of the 3K [ph] releases. Short term and long-term – part of long-term debt is reduced to $157 million mainly as a consequent of the termination of the 3K releases, prepayment of capitals and a small net draw down on long-term debt. Asset sale is included in the balance sheet with a total of $568 million of debt and obligations on the capital lease. Debt related to three of the contracted Suezmax vessels are not consolidated in the balance sheet which is $57 million [ph]. Moving to slide 10; the cash cost breakeven rates are approximately $30,800 per day for the VLCCs; $25,500 per day for the Suezmax; and $24,300 for the OBO. The cash cost breakeven for VLCCs and Suezmax has decreased from the previous quarter as a result of the lower expected drydocking costs in 2010. These rates are the daily rates our vessels must earn to cover budgeted operating costs, estimated interest expense, scheduled loan principal repayments, variable hire [ph] and corporate overhead costs. However, these breakeven rates do not take into account capital expenditures or loan balloon repayments at maturity. Furthermore, the M/T Kensington and the M/T Hampstead, (inaudible) Genmar vessels chartered, and the three vessels on bareboat are not included in the cash cost breakeven rate. Moving to slide 11 and 12; during 2009, Frontline has reduced our newbuilding program with $798 million through cancellations and restructuring, including the options that we have. Total number of vessels in Frontline’s newbuilding program after the cancellations and restructuring is four Suezmax tankers and six VLCCs, including the option which constitutes a contractual cost of $990 million compare with $997 million at September 30, 2009. After the total, the financial exposure on two of the VLCCs of $252 million can be limited to the $54 million already paid in installments. The financial exposure is then down to $792 million. As of December 31, 2009, installments outstanding of $64 million have been paid on the newbuilding, which is the same as of the end of the third quarter of 2009. The remaining installments to be paid for the newbuildings amount to $428 million; $400 million if you exclude the Northia delivered in January 2010. The expected payments are approximately $338 million in 2010 and $90 million in 2011, respectively. The $338 million can be reduced down to $310 million if you exclude the Northia delivered in January 2010. These numbers exclude the payments on the two VLCCs that have a financial exposure that we can limit with the $54 million already paid in installments. In addition, we have a pre-delivery financing of $34.8 million which is due over the next two quarters. Moving to slide 13; the company has established long-term pre and post-delivery of newbuilding financing, representing 80% of the contractual costs of four of the newbuildings being built at Rongsheng, and two of the newbuildings being built at the Waigaoqiao. As of December 31, $256.9 million have been drawn down on this financing. This includes the drawdown of the delivery installment on the Hull1017, and we expect to draw further $122.3 million in 2010. In the second quarter of 2009, we established long-term pre and post deliver newbuilding representing 70% of the contractual costs of the last two newbuildings being built at the Waigaoqiao. As of December 31, $44 million is outstanding on this facility, and we expect to draw further $102.4 million [ph] in 2010. The four VLCCs being built at Jinhaiwan shipyard are the only vessels in our newbuildings program, which are currently unfinanced. These vessels will not be delivered until the second half of 2011 and the first half of 2012. And the two last vessels are options that we can walk away from. We have received indications of obtainable financing in today's credit market for the unfinanced newbuildings at $65 million. Based on secured committed financing and indications for financing for this two unfinanced VLCCs, the net required equity investments in newbuilding program is reduced to approximately $8 million. Moving to slide 14; in this graph, we have shown the installments to be paid under the newbuilding contracts and short-term loans related to the newbuilding contract in the different years and with a total of $435 million in the light blue column. The dark blue column includes established financing, the indicated financing obtainable for the newbuilding contracts not yet financed and the fixed contract revenues about our breakeven rate, in the different years with a total of $531 million. The graphs show that we have $96 million more in financing from the contract coverage above breakeven rate than necessary to finance the total CapEx assuming the spot vessels earned their cash costs breakeven rates. This is after having covered a net required equity investment in newbuilding program of approximately $80 million. Moving to slides 15, and 16; the number of vessels in the Frontline fleet is 84 vessels, including vessels that we have in commercial management and ITCL vessels, and it’s compounded by 31 double hull vessel VLCCs, and six single hull VLCCs, one single hull Suezmax, 28 double hull Suezmaxes and eight OBOs. We have a contract coverage of 33% in 2010 and 20% in 2011. In addition to the fixed-rate contract coverage, we also have an additional 11% contract coverage on floating income in 2010 and 15% in 2011. The average net TC rate for total fleet is about 45,300 per day in 2010 and 48,000 per day in 2011. And with this, I'll leave the word to Jens again.
Jens Martin Jensen: Thank you, Inger. We are now at slide 17; market and earnings. Q4 was pretty dull and difficult until basically early December, when we finally saw some extra demand from mainly China, and I guess the start of the cold winter also made the sentiment change. Average earnings for VLCC were about $29,700 and for Suezmax is $23,300 in the quarter. Again, we outperformed our benchmark competitors with our well-mixed earnings profile West and East. We lost money on our chartered and Suezmax of about $7.8 million, but we managed to redeliver four of the ships during the quarter, and today we'll actually be redelivering the last ship, so that's pretty positive. Otherwise, positive market contributors in the quarter were less newbuildings was delivered compared to the perceived order. I will go into that in more detail later. Around 40 to 45 VLCCs will still remain on storage. As I mentioned, China had a very strong demand – extra strong demand in Q4; and of course, China's diverse sourcing of crude made that very positive from the ton-mile situation. Negatively for the earnings was again high and fluctuating bunker prices and very little port and weather delays in the quarter, despite being the winter season. If you look at the fleet single hull, at the end of 2009, it stands at 84 VLCCs, 15 ships were removed from trading, scrapping or conversion; 33 Suezmaxes with three ships being removed away from the list. Now we are at slide 18, the VLCC fleet. We had a fleet growth of around 8% last year. No VLCCs were ordered in the fourth quarter. If we look at the VLCC order book and the single hull fleet going forward, on paper 67 ships will delivered, and we estimate around 60 ships will be phased out during the year. When I say perceived order book of 67 ships, which we will go – I will discuss this in a little bit – later on. We have seen quite a lot of slippage in the order book in 2009, and we expect that to have in also 2010. If you look at Suezmax fleet within slide number 19, again I will go into detail on that on a separate slide, but we saw an increase in the Suezmax fleet of about 12% to 13% in 2009; however, in this segment we saw many of the newbuilding Suezmaxes being tied up in gas, oil and storage straight, and the actual number of ships going into the crude fleet was less than this. We're on slide 20 now; newbuilding prices and rates. Very little newbuilding has been ordered, no VLCCs were ordered in the fourth quarter 2009 and we estimate that the newbuilding prices for VLCCs to be around $95 million, and $62 million to $63 million for Suezmax. The time charter market, three years is around 33,000 to 34,000 for the VLCCs today and about 24,000 to 25,000 for Suezmax. Now we will look to slide 21. And here are some interesting facts on what happened last year. 64 VLCCs were actually delivered versus the perceived order book of 68 ships, which is a 20% slippage. If you look at the 23,300 Suezmax fleet, the order book was 73 ships and 46 ships were delivered; that’s a 37% slippage mainly due to the mainly due to the Greenfield shipyard situation which we have been mentioning I think every quarter throughout the year. It was nice to be right now and then. If we estimate a slippage of 20% in 2010, we will be seeing a negative fleet growth in the VLCC segment. Another interesting factor which I've mentioned here on the slide is that around 10% of the double hull Suezmax fleet is older than 15 years and around 5% of VLCCs. Many oil companies have now started being restricted that they will only take ships up to 15 years of age. And at the bottom of the slide, you can see the figures as I mentioned. So there is quite some bright spots in the order book if look going forward. And as I mentioned in the Q3 presentation, you have to remember that 50% of the VLCC order book is ordered at prices in excess of $135 million, so we could easily be seeing some more deferrals, cancellations and delays with the newbuilding program. Now we are on slide 22; ton-mile situation. A lot has been said and written about this. Many of those articles I do not understand, but I managed to find this quite simple illustration which HCM, which is a broker company in London, had put out which is quite understandable why China is so important. Due to the diversity of the crude oil sourcing for China, which a lot of oil is coming from the Caribbean and Africa, you will see – you basically need 1.8 VLCCs to lift the same amount of crude as it will be going to the States, 0.9, Europe, 0.4; and Japan. So the message is we need China to import and remain as a strong crude oil importer. And of course, it would be nice if we see USA coming back on track again. Now we are on the outlook slide. With fleet, as I mentioned, are we really going to see a fleet growth of VLCC in 2010? If we have the phase-out, which is about to happen – will happen in 2010, and if we see some cancellations and deferrals, you will have a negative fleet growth in the year. Suezmaxes will be the same. We don’t have the same amount of single hull ships, but we still have a lot of ships been built at Greenfield yard. We have quite ourselves a big experience of that, as Inger mentioned, our first Suezmaxes was delivered the 5th of January. This ship was supposed to be delivered in November 2008. And as I mentioned before, we have now the first innovation of double hulls which are becoming difficult to trade. Increased global oil demand has been written up to 1.9% now with ton-miles. It’s expected to increase in 2010. China is still very dominating. Many of you probably have read now that China has taken over being Saudi Aramco's biggest customer; and of course, the imports from Venezuela and Africa have grown by quite a big percentage. What about Frontline? Where are we going forward? As Inger mentioned, we have managed to reduce our newbuilding program with around $800 million. We have re-delivered our expensive charter-in units and replaced them with more competitive, I would say, cheap units. We have continued to be a market consolidator. Our entry into the Gemini pool has been good and as we can see on the earnings, it's been successful. The restricted cash release will help us going forward. And as Inger also mentioned, we had outperformed our peers both in income and cost-wise. And we believe our cash breakeven levels going forward are quite attractive. And we are looking forward to 2010. With that, we are ready to take your questions. Hello?
Operator: (Operator instructions) We will now take our first question from Scott Burk from Oppenheimer. Please go ahead, sir.
Scott Burk – Oppenheimer & Co.: Hi, good morning.
Jens Martin Jensen: Good morning.
Inger Klemp: Good morning
Scott Burk – Oppenheimer & Co.: I've got a couple of questions. First of all, you talked about how chartering is – or last quarter, you talked about chartering vessels being more attractive than buying. And you've done several of those deals right now. Does the spike in day rates that we've seen over the last month and a half or last two months change your opinion on that at all? Or do you still think chartering is more attractive than acquiring new vessels at this point?
Jens Martin Jensen: I think as you mentioned, the ships we have chartered in at just below $30,000 a day, if you have to pay $90 million per ship or you can charter at those levels, then it's of course more attractive to charter. The charter rate has improved or increased with the improved spot market, but I still think you can charter in VLCCs for around $34,000, $35,000 a day. So it’s still an attractive opportunity versus buying ships, yes.
Scott Burk – Oppenheimer & Co.: And does the charter rate have any bearing on whether or not you actually decide to go forward with those two VLCC newbuilds for 2011 and 2012? Or is that completely independent consideration?
Jens Martin Jensen: I think if the market is $200,000 a day in there and $20,000 in '10 [ph], we'll probably think about it again and keep the ships, but it’s a nice option to have going forward with. Of course it’s too early now to say how this story will end.
Scott Burk – Oppenheimer & Co.: Okay, but at this point, they're purely options, really no plans to actually take delivery of those vessels?
Jens Martin Jensen: Well, it’s an option we have had, and I think that’s where we leave it right now. We have not made further comment on that.
Scott Burk – Oppenheimer & Co.: Okay. Just wondering about the – let's see, I wanted to ask about the Northia delivery. It was delayed from the fourth quarter that came at the beginning of January. I assume it's fairly small but will the compensation payment – first of all, how big is that and would it just count as a reduction in capital expenditures? Or would that actually show up in the income statement?
Inger Klemp: It's still a reduction in the cost of vessel.
Scott Burk – Oppenheimer & Co.:
Jens Martin Jensen: Of course, I think there's two things – many of the early generation double hulls, especially on the Suezmaxes, is allowed a center line bulkhead; and then the Gemini pool, they don’t have any ships in the pool without centerline bulkhead. But of course, we all the pool partners in the Gemini pool are contributing newbuildings into that. So we know that we have to improve the chance profile going forward. And I think we all the pool partners in the pool are committed to that factor.
Scott Burk - Oppenheimer & Co.: Okay. And so the pool partners – does that mean the pool partners plan to maintain the size of the pool by renewing that fleet? Or maybe the pool gets smaller?
Jens Martin Jensen: We know we can expect more partners to the pool. I think we had around 45 to 50 in the pool now. And I think if you compare it to the few competitors we can benchmark against them. The pool has outperformed those. So I see no reason why we should not be able to get some more ships into the pool, maybe one or two of them in still, and that what we will work on this year.
Scott Burk - Oppenheimer & Co.: Okay. And let's see, I guess I just had one more question about the dividend. You talked about the amount of contract coverage that you had that's significant – it's enough to cover all of your newbuilding commitments, etcetera. Just wondering, does that mean that your dividend will mostly be based on what your spot ships can earn above your fixed cash costs, beyond what your capital needs are?
Inger Klemp: As I said, when we went through that graph, I said that we had $96 million overfunding in a way for our CapEx program. That's included in that we have covered $80 million that we had in net equity investment in the CapEx program. So the overall funding there of $96 million [ph] is of course available. And then apart from that – or as you're saying, in excess of your breakeven rates on the spot levels.
Scott Burk – Oppenheimer & Co.: Okay. All right, thank you.
Jens Martin Jensen: Thank you.
Operator: We will now take our next question from Justin Yagerman from Deutsche Bank. Please go ahead.
Mike Weber – Deutsche Bank: This is Mike Weber [ph] on for Justin. How are you?
Jens Martin Jensen: Good morning. Fine, thank you.
Inger Klemp: Good morning.
Mike Weber – Deutsche Bank: A handful of quick questions. You noted in your release you signed in a storage contract. I just wanted to dig in a little bit on where you think single hull utilization is right now? In other words, for two months into 2010, how do you see the phase-out actually playing out, and whether or not single hulls are still involved in the bidding process for business? And whether they're still actually having a bit of an impact on the current market?
Jens Martin Jensen: I had the same question this morning. It's quite a relevant one. I think the utilization for (inaudible) is about 30%. Of course, if the market goes up and becomes more firm, probably the utilization will go up. But I think the majority of the owners, including ourselves, are looking, of course, at docking positions of these ships. And of course, there is some phase out when we hit the anniversary date of the ships. So I think depending on where the market is those ships will be phased out; and of course, it will be good for the market. It will be pure double hull market when we can get these ships out. We have seen whenever the market spikes a little, the first ship that actually taken is the good single hulls. So if these ships are eliminated from trading, it will be positive for the market.
Mike Weber – Deutsche Bank: I mean, when you guys are out in the marketplace, are you running into these – a lot of these vessels? Are they still kind of acting as a headwind to day rates? I mean, they might not be utilized but they're still active?
Jens Martin Jensen: They are always being used when you have an argument with a charter. Of course, there are not many charterers that actually take single hull, but the few that does they always use them as an argument why only want to pay a certain weight. So the purpose of the single hull puts some kind of damper of your earning.
Mike Weber – Deutsche Bank: All right. That makes a lot of sense. I guess changing gears real quickly, this is more of a, I guess, conceptual question. You guys talked a bit about increasing global ton-mile growth, particularly into China. I was hoping you could maybe give a little bit of color about sourcing; China sourcing grew from Venezuela and Brazil. How sustainable do think that trade is and how do you think it trends going forward?
Jens Martin Jensen: Well, judging from Mr. Hugo Chavez’s latest speech, I think he's very I think he's very pro-China. So I think that will probably stay there. And of course the appetite for crude in China has been enormous. Today, I think, they are sourcing crude wherever they can get it from at competitive levels. And they are, of course, trying to diversify their import sources. So I think you will see quite a diverse sourcing from the Chinese market. I don't think that is going down.
Mike Weber – Deutsche Bank: Okay, thanks. That makes sense. And I guess, finally, looking through, I guess, the supply phase in your deck, you mentioned the slippage estimates for 2009 and 2010 for both VLCCs and Suezmaxes, and it looks like VLCCs estimates remained flat and your Suezmaxes estimates were slipping actually come off in 2010. Is that because there are more Suezmaxes being built at Greenfield yards? How do you think that plays out?
Jens Martin Jensen: It is the Suezmaxes order book – one-third of the order book have been built at Greenfield yards. And of course, that's more than we have been on the VLCC side. So we saw quite a big slippage in 2009. We don’t think that many ships have been canceled at these new Greenfield yards. But we think the slippage for Suezmaxes will be less than the 37 – we are not sure, but this is just an estimate which we are using to show that if we have the slippage and with the single hull factor in book, the fleet growth will be much less than what is being perceived.
Mike Weber – Deutsche Bank: Yes. I definitely agree. All right, guys. That's all I have. Thanks a lot.
Jens Martin Jensen: Thank you.
Operator: We will now take our next question from Justine Fisher from Goldman Sachs. Please go ahead.
Justine Fisher – Goldman Sachs: Good morning.
Jens Martin Jensen: Good morning.
Justine Fisher – Goldman Sachs: So I just have one question about what your motivations are for the change in the contract with Ship Finance. Because it seems as though, Inger, you guys have more than you need on the financing side for your CapEx. So why – what is the motivation for that change? Is it because you want to have that additional cash available for dividends or $112 million – what is that going to be used for from the Frontline perspective?
Inger Klemp: Well, as we put in our press release, for six years when this structure has been in place. This cash deposits have been touched. And they were in a way set up to secure that you have the possibility to dig into the cash deposit if you have that tons in a way. But that has never occurred; and the possibility to dig into them because we have contract coverage on many of these vessels. And that we have not been able to use these deposits. So and in addition to that a very low interest environment, we think it's very inefficient to lock up this enormous amount of capital in this deposit structure. So we found that it was more efficient use to do this amendment to the contract.
Justine Fisher – Goldman Sachs: But so if there – I think you had mentioned that you actually did lose the money on the Suezmax contracts because the rates have been below what the charters are to Ship Finance. So where has the difference been made up for? Has it just come from Frontline's cash as opposed to cash storages? Because it seems as though now is the time where there's a risk that the rates actually are below what the charters are.
Jens Martin Jensen:
Justine Fisher – Goldman Sachs: Okay. And then just one more question on the single hulls. I'm trying to think through the economics for an owner of one of those older ships. I mean, I know that it's still a question as to whether or not they actually scrap them. Does it make sense for the owner of an older single hull – if it's already fully paid for, etcetera, and – would it make sense for them to keep the ship around in order to take advantage of market opportunities for storage or just for periods where demand is higher for tonnage as opposed to scrapping it? I mean, does it make sense for them to kind of lay it up for however many months of the year and then just offer it up when there may be demand from oil companies?
Jens Martin Jensen: The trouble is with crude tankers, you cannot lay them up. If you lay them off, you lose your approvals on the ships. So that's not a factor. Of course, as you mentioned, many of the owners of the single hull ships are owners that probably have no debt on the ship, so they will wait for maybe one spike in the market and hope they can make some money. But otherwise I agree with you, it's not profitable really to operate these old ships any longer.
Justine Fisher – Goldman Sachs: Great. Thanks so much. I appreciate it.
Jens Martin Jensen: Thank you.
Inger Klemp: Thank you.
Operator: Our next question is from Jon Chappell from JPMorgan. Please go ahead.
Jon Chappell – JPMorgan: Thank you. Good afternoon.
Jens Martin Jensen: Good afternoon.
Inger Klemp: Good afternoon.
Jon Chappell – JPMorgan: I just have a couple of questions on some of the fleet developments you've announced over the last couple of weeks. First on the Front Vista, can you disclose how much you're getting paid for the sale and how you are going to account for this over the next 10 years?
Jens Martin Jensen: I cannot disclose how much we are getting. But what we were mentioning, we have sold the ship to an unrelated third party who has obtained a 10-year charter to a state-owned oil company, and that's the reason why we're putting that time generate they have obtained this. Of course, then you probably have to deduct some commission on the rate, and then of course, the operating costs. And thereafter, you're coming down to a better [ph] element which will probably mix with what they are paying to us over the years.
Jon Chappell – JPMorgan: Okay. But I would think from like a time value of money, you're probably getting more over the 10 years than the $58 million that you bought the ship from?
Jens Martin Jensen: I would hope so if I'm going to keep my job, yes.
Jon Chappell – JPMorgan: Okay. Then also another question on this new Ship Finance structure, are you only lessening the charter hire in for that six month period? And then starting in the fourth quarter this year, it goes back to the original contracts?
Inger Klemp: Yes, it’s only for a six-month period.
Jon Chappell – JPMorgan: Okay. And how do we account for that? Should we just take that $74 million and spread it over the six-month period? Or should we change the way that we're accounting for the normal contracts with Ship Finance?
Inger Klemp: No. You shouldn't change it; it will be, as I said, proportionate over the six months.
Jon Chappell – JPMorgan: Okay. On the last two VLCCs, you mentioned before there's somewhat of an option – just the way that I read the press release and your tone on the call, it sounds like you're probably not going to exercise these ships. But when does the decision need to be made by? When is the drop dead date when you either have to walk away from it or declare the options?
Jens Martin Jensen: Well, the delivery of those two ships is only in the second quarter of 2012. The construction has not started at any of these ships yet. So I would say end of this year, maybe, around that.
Jon Chappell – JPMorgan: Okay. And then finally, just two more quick ones on the market; that slippage versus cancellations, is there any way to tell how much of the slippage, especially in the Suezmax market, is pure cancellations? Or are those ships eventually going to hit the market in 2011 and 2012 or even 2013?
Jens Martin Jensen:
Jon Chappell – JPMorgan: Okay. And then my last thing is on scrapping. You mentioned the 84 single hulls and a lot of people are expecting 84 VLCCs to be removed from the fleet this year. We've only seen four or five through the first two months of the year. Is it realistic? And is there the scrap yard capacity to really do 80 more VLCCs scrappings over 10 months?
Jens Martin Jensen:
Jon Chappell – JPMorgan: Okay. All right. Thank you, Inger and Jens.
Jens Martin Jensen: Thank you.
Inger Klemp: Thank you.
Operator: (Operator instructions) We will now take our next question from David Neuhauser from Livermore Partners. Please go ahead.
David Neuhauser – Livermore Partners: Hi, good morning ladies and gentlemen.
Inger Klemp: Good morning.
Jens Martin Jensen: Good morning.
David Neuhauser – Livermore Partners: I have a question regarding the current state of the world dynamics. We're seeing slowness out of Greece and issues from Greece and some pullback from credit out of China. Are you forecasting any issues going on with that current environment?
Jens Martin Jensen: Of course, all of these things going on always have a bearing on people's sentiments. So I think I'm personally quite optimistic for the tanker market in 2010 [ph]. But of course, we are going to have another financial storm; it could maybe take some the chop out of that storm. But I think in terms of oil demand, Greece is not the biggest oil consumer in the world. But of course if you see a meltdown in that particular country, there could be some drop in the financial markets which normally is not positive for shipping.
David Neuhauser – Livermore Partners: And then on the other end of the spectrum, if opportunities arise and given the current state of the market still, are you guys at all looking at seeing potential consolidation maybe coming forward here in the next 12 to 18 months?
Jens Martin Jensen: There could be. I think you're not the only one looking at the (inaudible) other companies. I think that it would probably – something will probably happen here during this year, some consolidation, mergers and acquisitions. So I think you could see something on that going forward.
David Neuhauser – Livermore Partners: Are you guys actively searching? Is that something that's – that you guys are looking at potentially being opportunistic on?
Jens Martin Jensen: No, we are looking at everything. We are looking at buying ships, chartering in. I think it's always a continuous hunt for new ideas, new deals. So I think we are like everyone else out there.
David Neuhauser – Livermore Partners: All right. That’s sounds good. That’s all I have. Thank you.
Jens Martin Jensen: Thank you.
Inger Klemp: Thank you.
Operator: Our next question is from Justine Fisher from Goldman Sachs. Please go ahead.
Justine Fisher – Goldman Sachs: Hi, sorry, just one more question. So you guys are not planning on scrapping any of your single hull or double-sided vessels because you have those out on charters, right?
Jens Martin Jensen: Not all of them out on charters – all our ships right now are actually employed, but as their time charter expires, which is around the phase-out date, if there is no buyers out there who wants to buy it from us for trading or conversion, then we will have to consider scrapping them ourselves, yes.
Justine Fisher – Goldman Sachs: Okay. But you haven't made the decision about scrapping them yet?
Jens Martin Jensen: We are, of course, thinking about it. And I think we are leaning more towards that decision, yes.
Justine Fisher – Goldman Sachs: And how many – do you classify the OBOs in your fleet as single – I mean, are those – would those be single hulls? I mean, would those be some of the type of tankers that would be scrapped if –?
Jens Martin Jensen: No, they are double hull but these ships have been trading in dry cargo for a long time and I don’t think they would ever come back into the oil trade again. The age of the ships will not make that possible, really.
Justine Fisher – Goldman Sachs: Okay. I mean, have you guys done – in your fleet deletion numbers, have you done any work on how many other owners – of the fleet that we know as single hull, double bottom, double-sided, how many of those ships are also on charters that may make the owner less incentivized to scrap them as well? This is just going back to Jon's question about the potential for all of those older ships to be deleted this year.
Jens Martin Jensen: That's why we estimate around 60 ships will disappear out of the 84. So there's some ships tied up like some of ours on the various storage projects.
Justine Fisher – Goldman Sachs: Okay. Thank you.
Jens Martin Jensen: Thank you.
Operator: We will now take our next question from Andy Rosenlund from ABG SC. Please go ahead. Your line is open Mr. Rosenlund.
Andy Rosenlund – ABG SC: Okay, thank you. Sorry, I had missed my phone. You still have some restricted cash against Ship Finance or Ship Finance has some restricted cash against you. Is there a discussion on whether to release the remainder of the restricted cash or –? And why did you decide on $112 million? Why did that end up to be the figure?
Inger Klemp: There is no discussion on releasing more restricted cash. And the number that we in a way agreed upon was a kind of decision between Ship Finance, the banks for Ship Finance and Frontline, because obviously the banks have some saying here. They need some security for getting their bank loans to Ship Finance. And that’s a part of it.
Andy Rosenlund – ABG SC: Okay. Thank you very much.
Jens Martin Jensen: Yes, thanks.
Inger Klemp: Thank you.
Operator: We will now take our next question from Rob McKenzie from SBR Capital Markets. Please go ahead.
Rob McKenzie – SBR Capital Markets: Yes, good afternoon.
Jens Martin Jensen: Hello.
Rob McKenzie – SBR Capital Markets: I wanted to come back to the acquisition or S&P question a little bit. Can you give us a feel for how you see the availability of vessels? And notwithstanding the market values you put out there right now, do you think you can get vessels at $95 million a V, and likewise for the Suezmax? Or do you think you might have to pay up to acquire vessels at this point?
Jens Martin Jensen: The last two ships of transactions done on two VLCCs resales was $96.5 million. I think there's quite – many people out there probably willing to buy ships at the same level. So I think actually you could see prices going closer to $100 million. I don’t see prices going down right now. And the same thing for Suezmaxes – there seems to be quite a few buyers out there for modern ships. So maybe you have to pay around $70 million for Suezmaxes on the water right now.
Rob McKenzie – SBR Capital Markets: How would you characterize the volume of offers you see for Vs and Suezs at this point in time? Is it pretty sparse right now?
Jens Martin Jensen: Pretty sparse – not many. There's not many ships available.
Rob McKenzie – SBR Capital Markets: And how does that outlook look? I mean, clearly – probably most of the available ships might come out of shipyards from folks that cannot afford to take delivery. How do you guys view that availability of ships from that supply chain?
Jens Martin Jensen: So far we haven’t seen any ships like you have seen on the container side, where owners have abandoned orders on the shipyards themselves. So we haven't seen that on the VLCCs yet. And as I mentioned before, I think when you come into end part of 2009 there’s where you'll see the really expensive ships being ordered coming out. So I think that’s probably more likely you'll see this scenario.
Rob McKenzie – SBR Capital Markets: Okay. Thank you very much.
Jens Martin Jensen: Thank you.
Inger Klemp: Thank you.
Operator: As there are no further questions, I would like to turn the call back over to your host for any additional or closing remarks.
Jens Martin Jensen: I would just like to say thank you for everybody for dialing in and listening to us, and I would like to say thank you for everybody in Frontline for keeping up the spirit in 2009. Thank you.
Operator: That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.